Operator: Good morning. And welcome to the Innodata’s Second Quarter 2016 Earnings Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Amy Agress. Please go ahead, Ma'am.
Amy Agress: Thank you, Amelie. Good morning, everyone. Thank you for joining us today. Our speakers today are Jack Abuhoff, Chairman and CEO of Innodata; and O'Neil Nalavadi, our CFO. We’ll hear from O'Neil first, who will provide a detailed review of our results for the second quarter and then Jack will follow with additional perspective about the business. We’ll then take your questions. First, let me qualify the Forward-Looking Statements that are made during the call. These statements are based largely on our current expectations and are subject to a number of risks and uncertainties, including without limitation that contracts may be terminated by clients; projective or committed volumes of work may not materialize; our Innodata Advanced Data Solutions segment, IADS, is a venture has incurred losses since inception and has recorded impairment charges for all of its fixed assets. We currently intend to continue to invest in IADS; the primarily at-will nature of our contracts with our Digital Data Solutions clients and the ability of these clients to reduce, delay or cancel projects; continuing this Digital Data Solutions segment revenue concentration in a limited number of clients; inability to replace projects that are completed, cancelled or reduced; depressed market conditions; changes in external market factors; the ability and willingness of our clients and prospective clients to execute business plans which could rise to requirements for our services; difficulty in integrating and deriving synergies from acquisitions, joint venture and strategic investments; potential undiscovered liabilities of companies that we may acquire; changes in our business or growth strategy; the emergence of new or growing competitors; various other competitive and technological factors; and other risks and uncertainties indicated from time-to-time in our filings with the Securities and Exchange Commission. We undertake no obligation to update forward-looking information, and actual results could differ materially. Thank you. I will now turn the call over to O'Neil.
O'Neil Nalavadi: Thank you, Amy. Good morning, everyone. Thank you for joining us today to review our financial results for the second quarter 2016. Before we get into reviewing the financial performance, I wanted to discuss a couple of key items. First is the strategic acquisition of the Agility business from PR Newswire for $4.3 million. We are excited about the acquisition as the combined products of MediaMiser and Agility would position as well to meet the growing demand for earned media and measuring impact, as well as media intelligence. Jack will discuss our strategy in greater detail later in this call. On pro forma basis for calendar year 2015 Agility had $5 million in subscription revenues with an approximate gross margin profitability of 50%. And in the most recent second quarter April to June 2016 it was EBITDA positive. The acquisition should double the annual revenues of our media intelligence business to approximately $10 million with a gross margin profitability of 50% before acquisition related to amortization cost. Our combined media intelligence business will now have more than 1,500 customers. Moving now to our financial performance for the second quarter. This quarter's results were impacted by $1.4 million in one time expenses that reduced our adjusted EBITDA for the quarter from $700,000 gain to a $700,000 loss. The one time expenses consist of professional fees and related cost of $1,250,000 in connection with the previously reported internal investigation by the audit committee. And leading another expenses of $150,000 for the Agility acquisition. As reported earlier, the investigation relates to potentially improper payments made by certain employees of one our foreign subsidiaries. These expenses were incurred in our Digital Data Solutions segment formally known as Content Services and approximately $1.1 million was accounted as SG&A expense and $150,000 as costs of good sold. The one time expense of $150,000 for Agility acquisition was accounted for as SG&A expense in the media intelligence segment. My remarks on comparative results for Q2 will exclude the effect of the one time expenses as I'll indicate. I'll now review the key line items in our financial statements in sequential quarter-over-quarter basis. Total revenue in the second quarter was $15.6 million compared to $15.7 million last quarter. On a segment basis, Digital Data Solutions revenue lowered by $400,000 this quarter and approximately $13.2 million. This was primarily due to $800,000 decline in revenues from key eBook customer offset by $450,000 increase in revenues from other customers. In IADS, both Synodex and docGenix reported growth with total revenues increasing by $270,000 to approximately $1.2 million. In our media intelligence business revenue is expanded by approximately $100,000 or 8% to $1,250,000 this quarter. In number of MediaMiser enterprise customers increased by 1 to 126 at end the end of Q2 as a result of seven new additions and six terminations. Our consolidated gross margins were $4.2 million this quarter, or 27% of revenues compared to 28% of revenues in the prior quarter. As previously indicated, this exclude the effect of one time expenses and acquisition related amortization expenses. At the segment level, again excluding one time expenses the gross margin in our Digital Data Solutions business was $3.7 million, or 28% of revenues compared to $4.2 million, or 31% of revenues in the prior quarter. Our margins were lower primarily due to lower revenues of $400,000 and cost increases of $150,000 attributable to salary raises. In IADS, higher revenues helped to reduce the deficit between revenues and costs of sales to near breakeven compared to a deficit of $300,000 last quarter. And in our Media Intelligence business, gross margins excluding one time expenses and acquisition related amortization expenses increased to $600,000 or 48% of revenues this quarter compared to $450,000 or 39% of revenues in the first quarter. Trilling down our total selling, general and administrative expenses excluding the one time expenses increased by $500,000 to $4.3 million compared to $3.8 million. This increase is attributable to $400,000 increase in our Digital Data Solutions business and $120,000 in our media intelligence business. SG&A expenses in Digital Data Solutions were $3 million this quarter and the $400,000 increase was in account of new hires in sales and marketing of $150,000 and the balance due to miscellaneous adjustments which reduced other cost in the first quarter by $250,000. In IADS, we maintained the spent at $350,000 in both quarters. And in media intelligence segments our expenses increased by $120,000 to $900,000. The additional spend was primarily for new hires in anticipation of Agility acquisition, plus regular annual salary raises. Moving down to pretax earnings. Our pretax losses excluding one time expenses were $200,000 this quarter compared to pretax earnings of $400,000 in the previous quarter. Lower gross margins of $100,000 and higher SG&A expenses of $500,000 contributed to the $600,000 decline in pretax earnings. Let me now review our adjusted EBITDA. Our adjusted EBITDA excluding one time expenses was $700,000 compared to $1.4 million in the last quarter. This EBITDA of $700,000 was a net result of $1.4 million adjusted EBITDA in Digital Data Solutions, offset by $400,000 loss in IADS and $300,000 loss in our media intelligence segment. As I indicated earlier, the one time expenses of $1.4 million reduced our adjusted EBITDA to a loss of $700,000. Moving over to net earnings. Income tax and profits earned by offshore subsidiaries was $300,000 this quarter compared to $500,000 last quarter. After deducting tax expenses and minority interest, our net loss after one time expenses was $1.8 million this quarter compared to breakeven in the previous quarter. Our cash and investment decreased by approximately $400,000 to $24.9 million at the end of Q2. Approximately 15% of the funds were held in the US and the rest were held overseas. We continue to sustain our US cash balances by deferring cash transfers to our operating subsidiaries. In the second quarter, this deferral on the proportionate basis resulted in the $500,000 deemed divided income for US tax purposes. Looking ahead, we expect our cash balances at the end of the third quarter will be in the range of $19 million to $20 million after reflecting payments for the Agility acquisition and accrued one time expenses. Our capital expenditures this quarter were $700,000 compared to $150,000 in the previous quarter. And next quarter, we expect CapEx to be in the range of $400,000 to $500,000. I will now turn to our foreign exchange hedging program and other items. At the end of the second quarter, we had approximately $19 million in outstanding forward contracts to hedge our overseas exposure for expenses and revenues. In Q2, the U.S. dollar moved in a narrow range against the Philippine peso, the Indian rupee and the euro, and it depreciated 7% against the Canadian dollar. Based on mark-to-market our forward contract made notional gains of $100,000. Before I provide the revenue guidance, we wanted to provide some indication of one time expenses we would be incurring in the third quarter. We expect to incur up to $225,000 for the completion of previously reported internal investigation. And about $300,000 for merging MediaMiser and Agility operations. Let me now review our revenue guidance for the third quarter. We expect revenues to be in the range of $15.7 million to $16.8 million. The segment wise breakdown is Digital Data Solutions in the range of $12.5 million to $13.1 million, IADS between $1.2 million and $1.3 million and Media Intelligence inclusive of Agility between $2 million and $2.4 million. Based on the date we closed Agility, we anticipate approximately $800,000 to $1.1 million of Agility revenue will be recognized by Innodata in the third quarter. Thank you. And I'll pass the call over to Jack.
Jack Abuhoff : Thank you, O'Neil. Good morning. [Technical Difficulty] I'll then update you on where we are in the IADS segment and our core Digital Data Solutions business. So as you know, with the past few years we've been executing the strategy to build new product and services that expand our market opportunity and our base of recurring revenue. Product and services that help customers gain better insights or otherwise improve their businesses using digital data and that leveraged our core competencies. Our acquisition of the Agility business from PRN was another cornerstone in this strategy. Agility is a tool used by PR and corporate communications professionals for identifying journalists and bloggers who would likely have an interest in a particular story. Distributing the story to the identified journalists and bloggers and then monitoring and measuring the media's uptick. Agility was created PR Newswire to accelerate its growth in a market environment in which traditional newswire business was basically flat. Agility is regarded as one of the handful of leading global media contact databases out there in the market. The analysis from Burton-Taylor with four leading products that combined enjoy close to 70% of the market spend in the Americas. And about 40% of the market spends in Europe, the Middle East and Africa combined. And the estimated global spend for media contact management in 2014 at $288 million of 9.5% from the prior year. And the market for the associated media monitoring to be at approximately $870 million growing 3% year-over-year. Because there were apparently only a handful global media database products out there and as a result of recent acquisitions, Cision already owned three of them. The US Department of Justice and the UK Competition and Markets Authority expressed concern that the acquisition of PR Newswire by Cision could lessen competition in the US and UK markets. So these regulators condition their approval of Cision acquisition of PR Newswire with requirement that PR Newswire sell Agility to a buyers that these regulators approved off. So over the past several months we first negotiated deal with Cision and PR Newswire to buy the Agility business. And we then made detail presentation to the UK and US regulators to demonstrate our plans for being a viable competitor in the media intelligence business. The regulators approved of us as the purchaser of PR Newswire global media contact database and monitoring business. And they approved Cision as purchaser of PR Newswire press release distribution business another asset. The Agility business has approximately 700 customers in UK and approximately 800 customers in the US. In 2015, its revenues were approximately $5 million. We paid $4.3 million for the acquisition which we funded from our internal cash reserves. We think we did well with the acquisition since recent comps in the market on the range of 2x to 3x revenues albeit it comes with the larger businesses. And here is why PR and corporate communications professionals need our media intelligence products. If you are a PR or corporate communication professional, either within a PR department at a company or with an agency. You got your problems. The first problem you are firing this information overload. There is just so much news getting circulating everyday, thanks largely to advances in information technology that it's hard for you to get your story noticed. The second problem you got is social media. You have to earn your social media mentions. And the people who are the key social media influencers are constantly changing. Therefore, sophisticated players and PR and corporate communications increasingly need tools to help them identify both the journalists and the bloggers who have an interest in covering your story and then will distribute story to recommend these folks. Simply sending a story over the wire is no longer enough to gain media pickup. Then you also need to monitor the news to see how the story that you pitched got picked up and otherwise it amplified and you need analysis tools and services to interpret all the data. Last year we succeeded a growing media mass about 27% year-over-year measured in constant currency. We competed favorably to win business from government agencies like Canada Post and companies like GE and McDonald's. Now with Agility we simply be even stronger. Agility and MediaMiser products they roll together. MediaMiser primarily competes in the North American market for editorially enriched media monitoring services. Agility primarily competes in the UK and North American markets for automated technology driven monitoring services. And within inspirited database and contact management solution. MediaMiser and Agility address different customers and different needs. MediaMiser's best prospects are large Fortune 1000 clients who have committed budget for editorial English media monitoring. Meanwhile Agility's best position to meet the demands of an expanding universe of companies that are recognizing the importance of monitoring and distribution. We think that by coming together we will be in a position to build on our relative strength to establish the focused differentiated strategy that may lead us to win in a marketplace and to infuse our efforts with the kind of entrepreneurism that will make us a strong competitor. For us the main execution risk in a deal will be around the need to augment the US and UK sales teams and regeneration sufficiently to make up for the loss of PRN's common sales channel. There is also some technical integration work that we need to manage over the next several months which we are working on now. Over the next several weeks and months we will be working with our new Agility colleagues on our near-term integration plans and on medium and long-term product and go-to-market plans. I'll now shift to our IADS or Innodata Advanced Data Solutions segment, and specifically towards Synodex business. We made some good progress on the Synodex business since our last call. First, we signed a new significant client. The client will start using our services for limited rollout which for us will mean an initial run rate of approximately $600,000 per year. With the potential to then be expanded once successful. The client is one of the top 10 life insurers processing multiple types of insurance risk. And he is using our service as a potentially important benefit in dealing with new demand based on its operations as a result of growth. This is one of the deals I mentioned in our last call as being a likely Q2 close. We also made important forward progress with another very large client that we signed late in the fourth quarter. In the beginning of June, we started work for our new Synodex 4.0 product with small volumes as we collaborated with them on almost daily basis to validate the customization that they require. We completed the customization about a week ago and the client has expressed to us that they are very happy with how it's now come out. Users now beginning to expand with another organization. In addition to the product customization and in order to accommodate potentially significant volumes, the client requires that we set up a second sell over process in site. In order to accommodate them we developed another Synodex processing location within our Cebu, Philippine facility. In just like week, the client completed its information security assessment of the Cebu operation resulting in a thumps up. The client will now start conducting its live testing stage business case evaluation to measure the potential impact to the product within their business. Getting this client to this stage has been an important milestone. First because the client's requirements and potentially very large, potentially several million dollars per year. But also because the client is known throughout the industry for both the particular complex work that it does and its high standards. Last quarter I told you that we were hoping to start work with two other clients. But unfortunately both of these have been delayed. One was delayed because the chief underwriter expected quite right after all the remaining issues on our contract were ironed out. So we need to take out the process with his successor. The other was delayed due to the client's internal IT staffing issues that were preventing them from completing the internal programming work necessary for our system to exchange data. Now with respect to the second delay client, we received towards just this week that they got the programming done and that they are ready to start testing the network communications between our systems. The second is larger and more important of the two engagements fortunately. Few other updates. In last call I mentioned too that another existing client was considering a significant expansion to our services, their evaluation is continuing. I also mentioned during our last call that we have demoed our 4.0 product to five client prospects, and then we would be demoing to others remain. The results of these activities are encouraging. Of the five potential clients that I told you we did demoed 4.0, one reasonably large client once begins trial this summer. Another was the client I referred to earlier whose chief underwriter quit, we will engage with business placement once his been named. With another we will be continuing discussions. And two have said that they will be ready to engage with us this fall. In May and June, we had good meetings as well with 11 different companies. Three of these companies actually reached out to us to set up meetings based on what they had heard about the 4.0 product. Two of the companies are using traditional law summary providers but are dissatisfied; they think that our solutions it is going to be better fit for them. We have been saying that a number of companies are struggling operationally with increases in product demand and revenue, and we are continuing to see the companies are intrigued by the prospect of the data driven solution like ours which supports the ability to then automate aspects of underwriting using the data. The headwinds to adoption remain bureaucracy either in terms of decision making or IT set allocation. And incremental approaches to change. One of our recent prospect told us to, expect a marathon not a sprint in terms of getting starting with them. They explained that they like to start slow, score win with senior executives and then continue to build up. So we feel that with winning product that is now being adopted by industry bellwethers, we will have what it takes to counter these headwinds. And of course what lies on other side for us is proving indeed to be long-term recurring revenue. Since our last call we've also made progress in docGenix business increasing revenues from a larger sale side client as well as the new sale side client that we won late in Q4 last year. IADS revenue in the quarter was up from $900,000 to $1.2 million and we expect the segment to continue to post sequential gains through the year. I'll now turn to our Digital Data Solutions segment. Revenue in the segment was $13.2 million which was $400,000 lower than we quote in the first quarter as a result of lower volume in the quarter from a key book client. We anticipated these lower volumes in the guidance we provided last quarter. As we continue to discuss the quarter-to-quarter ups and downs the result to book volume fluctuations and project completions are something that we are strategically addressing with a new businesses in which we are investing. Our media intelligence businesses, MediaMiser and Agility both have subscription based revenues with a track record of high customer renewals and Synodex has most recurring revenue. In the Digital Data Solutions business, there are several important strategies that we are working on. As I mentioned in our last call, we hired new leadership for this segment and we rolled out a new account managing organization that will service our existing accounts, freeing our sales team to sell net new business. We've added four new client partners to our account management organization so far this year, three external hires and one internal transfer. We also are broadening our strategy to address not only publishers and information companies but also data driven enterprises. For that reason, we've changed the name of this segment from Content Services to Digital Data Solutions. We've expanded our R&D efforts to support both our information company client and our enterprise clients. And we've expanded our marketing team to help us navigate market opportunities that we are seeing. For example, this quarter we started working with a large bank that sought our help in building its internal data repositories. And another company that we are helping manages a large internal database. We are looking to offset these investments to the extent possible with savings in other areas of the business. Looking at the company overall this quarter, apart from the $1.4 million one time expenses mentioned by O'Neil, our EBITDA was adversely affected by $400,000 of gestation cost in our European end to end publishing operations. And $800,000 of EBITDA losses in our new businesses. Among our goals which we established at the beginning of the year are the shrinking EBITDA losses over the course of the year and bringing to breakeven. I'll now open lines for questions after which I'll wrap with some final comments. Operator, we are now ready for questions.
Operator: [Operator Instructions] And we will go first to the line of Mark Jordan. Please go ahead. Your line is open.
Mark Jordan: Good morning, gentlemen. Question relative to the acquisition of Agility. As you mentioned I think you said you had some integration expenses that will flow through with combined companies here in the third quarter. But by the time you get to the fourth quarter with those two combined entities have at least the breakeven EBITDA?
O'Neil Nalavadi: Mark, maybe able to give better guidance in the next quarter in terms how we are looking to the business but good thing about the business is that the revenues are highly predictable with recurring revenues and the gross margin profitability is at 50% plus. To come to the EBITDA, the current media intelligence business that we have and has got a deficit of $300,000 and Agility has got positive EBITDA as of the most recent quarter. So couple of things as we make up our combined product roadmap and the investments which is demand in investment we'll have to make in a sales and marketing. But we are clearly targeting it to -- from a targeting perspective we are looking to have a positive EBITDA as soon as possible and make it accretive through the year.
Mark Jordan: Okay. But in your presentation about IADS your second consumer you talked about where you gone through an extensive customization stage and you entered into testing stage and you hence think that customer has a $2 million annualized opportunity if fully ramped, how long do you believe that this testing stage will go on until you know if you will be moving towards commercialization.
O'Neil Nalavadi : Mark, I am not sure I heard just you one word there so I may not need to correct what you said but I will in any event just in case I got it right. It's not $2 million opportunity, it is several million dollar opportunity. We think it's actually quite large if they were to fully adopt our solution.
Mark Jordan: Okay. Again how long do you expect to be client testing stage to last?
O'Neil Nalavadi : So I think my expectation of the client is that testing stage per se will probably last another month or two. But while they are testing they are going to be continuing to bring another group and involve them in that testing and begin to expand the service. They have not given a commitment to us in terms of where they are going to get, to when, as I mentioned also. What we do see is that these very large-- very successful life insurers kick incremental approaches. They walk before they run and I think thing that we are very excited about is as I said they like the product; they put an enormous amount of energy into very refined detailed customization so that if fits their use. And they've asked us to put up a second facility so they can have that sale over and can comfortably ramp up. So they have invested a tremendous amount in this. They wanted to work and they are now among other things evaluating the beneficial effects on the business.
Mark Jordan: Okay. Final couple of questions for me. The external care we expect in the third quarter relative to the internal investigations are down sequentially. Is this the sign that you believe that investigation will be completed in the third quarter? This question one. Question two, once you done that work and have delivered the information to the Department of Justice; is there any template that your folks have been telling you as to what would be the next steps that might be appropriate in this case from the Department of Justice?
Jack Abuhoff : Sure. So that we are expecting that one is down and complete, that's why we are able to give you some comfort that what we expect additional spend to be. In terms of a template, we can't really say now until the investigation is complete but we are hoping that will be complete in the near term.
Operator: Thank you. We'll take our next question from the side of Tim Clarkson. Please go ahead. Your line is open.
Tim Clarkson: Hey, Jack and O'Neil. Just a couple questions. Now on this MediaMiser, Agility merger, of course I also have a superficial understanding of these things but my understanding is that MediaMiser skill set is more in getting the data and while Agility is more of an advisor and telling people what to do with the information. Is it more complicated than that?
Jack Abuhoff : Sure, Tim. Well, I can certainly understand where it's up for the uninitiated to this; it takes a little while to fully understanding the business. You can think of Agility as a product that earlier adopters can -- not early adopters but people who are just starting to recognize the need to bring monitoring and distribution tools into their businesses can easily adopt. The average price per customer is lower, it's essentially a staff solution and then it also comes with a tool that enables you to find really who are the people that are the bloggers and the journalists and the folks that you have to get your message out. So it's very good for medium and small enterprises. MediaMiser is a software tool as well but often times the large Fortune 1000 clients, many, several whom are our client, they are looking for a lot of services wrapped around that. And that's really where MediaMiser fits in. So it's software as well as a very robust compliment of services wrapped around that. Now the good thing is that the large companies are seeing the need thanks to Facebook and Twitter and blogging and all the activity going on social media, they are seeing the need to pay more attention to what we call earned publicity. It can't just send down a press release and hope that everything filters down. They are being proactive, they are building those relationships. So they have the need for the database side that Agility brings. At the same time, what we are seeing that among Agility's clients many of whom are small and medium enterprises who stuck their tail in the water, moving this technologies, they are saying that do yourself tool aren't enough for to the sophisticated social listening and media monitoring. And they need more service; they need more robust tools built around that. So we've got a lot of functionality, lot of capability in the tools that we currently provide to customers, the MediaMiser tools that we are going to be bringing to the Agility customers. We are really excited about that. And we've also got a robust set of professional services that are available very economically that we believe they will also benefit from. So they really fit together like two pieces in jigsaw puzzle and aligned very well to where the market is going and where the demand is both among small and medium mid size enterprises as well as large enterprises.
Tim Clarkson: Okay, great. The next question is directed towards O'Neil. At what point your gross margin, at what level of revenue, I know this is theoretical but what level of revenue based on the combination of services we are doing right now to gross margins start to get back up to say 35% or so. Are we -- do we have to get the $20 million or $18 million or what point to gross margins start to move up again?
O'Neil Nalavadi: Tim, that's a good question. In an understanding how our gross margins will increase, it's best to look at the business in segments. So if you start with Digital Data Solutions, the current gross margin for this quarter is 27%-28%. And the growth that -- our target is probably in the region of about 32% to 35%. It's really a function of top line growth. At this stage, most of the incremental revenues tend to go down through the bottom line. And to the gross margin expansion. So it's really the function of top line growth when we are at $13 million of revenue per quarter. In the IADS business, on a marginal basis the profitability of the business is far higher than in the Digital Data Solutions, for the simple reason there is a very high level of predictability. So right now the costs of good sold also include an element of fixed expenditure because we carrying certain unused capacity. So it's a really function of top line growth that will help us to leverage the fixed cost. And once we get to a breakeven point which is say now we've said annualized revenues of $8 million per year, you will start seeing gross margins probably in the 35% range as revenues keep going up. In the media intelligence business, the gross margins are 50% and as the business continues to expand it will probably in that same percentage. So it really is a function of top line growth in our two Digital Data Solutions and IADS business that will get us to the 35%. I'd say if you ask me back of the envelop, once we get to the $20 million range total, yes, we should be in that 35% range.
Tim Clarkson: But overall for the whole company?
O'Neil Nalavadi: That is right, on quarterly basis.
Tim Clarkson: Based on how things are going that's not goal five years out.
O'Neil Nalavadi: No, five year is too far. We are working hard to -- each one of the businesses we are working hard to grow their revenues and it's difficult to predict the exact time but the timeframe is much shorter than that.
Operator: [Operator Instructions] And at this time, I'd like to turn it back over to the speakers for closing comments.
Jack Abuhoff : Thank you, operator. We are very pleased as I already said that now. Said again we are very pleased, we are welcoming the Agility team to Innodata. We think in Agility we made a great acquisition. In two years time we've gone from a business with the zero subscription revenue to having approximately 10 million subscription revenue. And we are proud of that. In our Synodex business, we signed a new important client. One of the top ten US insurers and we completed product customization for another of largest life insurers in the United States we signed late last year. Everything we are doing is about harnessing the power of digital data to enable businesses to make better decisions to spot trends earlier to operate more efficiently and to operate more effectively. And the new businesses are built on the global platform and technologies that we built over time in our core business. We are going to continue innovate the core business also with the prospect of growing it as well, aligning with the needs of broader markets who see the benefits of digital data. So thank you everyone for joining us on today's call. We will look forward to sharing with you our continued progress through 2016.
Operator: Today's conference is available for replay by dialing 719-457-0820 or 888-203-1112 pass code 1449286. Again the numbers are 719-457-0820 or 888-203-1112 pass code 7598892. That concludes today's conference. You may now disconnect.